Operator: Good day and welcome to the Hexcel Corporation Second Quarter 2016 Earnings Conference Call. Today's conference is being recorded. Hosting today's conference are Mr. Wayne Pensky, Chief Financial Officer; and Mr. Nick Stanage, Chairman, Chief Executive Officer, and President. At this time, I would like to turn the conference over to Mr. Pensky. Please go ahead, sir.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: Great. Thanks. Good morning, everyone. Welcome to Hexcel Corporation's second quarter 2016 earnings conference call on July 21, 2016. Before beginning, let me cover the formalities. First, I want to remind everyone about the safe harbor provisions related to any forward-looking statements we may make during the course of this call. Certain statements contained in this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. They involve estimates, assumptions, judgments and uncertainties caused by a variety of factors that could cause future actual results or outcomes to differ materially from our forward-looking statements today. Such factors are detailed in the Company's SEC filings and last night's Press Release. Lastly, this call is being recorded by Hexcel Corporation and is copyrighted material. It cannot be re-recorded or rebroadcast without our expressed permission. Your participation on this call constitutes our consent to that request. With me today are Nick Stanage, our Chairman, CEO and President; and Michael Bacal, our Investor Relations Manager. The purpose of the call is to review our second quarter 2016 results detailed in our press release issued yesterday. Now, let me turn the call over to Nick.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Thanks, Wayne. Good morning, everyone, and thank you for joining us today. As you have seen in the last night's release, we had a strong second quarter with sales of $523 million, 10% above the second quarter of 2015 sales in constant currency. Our key growth programs remain on track and performed as expected. Our operations continue to perform well delivering record second quarter operating income of $100 million with a strong operating income margin of 19.2%. Our adjusted diluted EPS of $0.70 was a record quarter for us and 11% higher than the second quarter of 2015. For the first half of the year, revenues are up about 8% to $1.020 billion as we are on pace to achieve our plan and exceed $2 billion in sales this year. Our adjusted diluted EPS for the first half is $1.29 or $0.08 better than last year's first half. Now, let me briefly provide more detail on our markets. As usual, I will discuss year-over-year comparisons in constant currency. As you are aware, currency movements influence our reported results and some of this impact is not intuitive. But the bottom line is that when the dollar is strong, our sales translate lower, while our income increases and so our margin percentages improve. Commercial Aerospace now accounts for 70% of our total sales and our second quarter sales increased 14.3% versus 2015. Total revenue from new Airbus and Boeing programs, which include the 787, A350, A320neo and 737 MAX increased more than 50% in the quarter as compared to last year, driven by the A350. Airbus and Boeing sales for legacy programs declined slightly in the quarter as compared to Q2 2015, while legacy sales for the first half of 2016 were sequentially greater than the second half of 2015. Sales to Other Commercial Aerospace which includes regional and business aircraft were about 15% lower compared to last year's strong second quarter. However, sales for the first half of 2016 were about 10% higher than the second half of 2015. Space & Defense sales for the quarter were $82 million, down 7.6% as compared to the second quarter of last year, and in line with the run rate we saw in the second half of 2015. The quarter sales decline was driven by rotorcraft which make up just over half of Space & Defense sales. However, sales of both military and commercial rotorcraft were higher in Q2 than they have been in each of the last three trailing quarters. As you recall, we went into 2016 expecting Space & Defense sales to be at the same level as 2015. Last quarter, we concluded it would be challenging to maintain our 2016 Space & Defense sales at those same levels and that continues to be our view. We're on more than 100 programs and our challenge for the full year versus our original plan falls down to two areas. First, we are expecting to see some customer supply chain adjustments on the A400M. And second, we anticipate further reductions in helicopter programs both from lower spare blade orders and lower commercial helicopter demand, and this is at Sikorsky, Airbus and AgustaWestland. We're not changing our guidance on total sales as we believe the other markets will offset any shortfall in the Space & Defense segment. In industrial markets, sales for the quarter were $72 million, up more than 14% year-over-year. Wind energy sales were up mid single digits for the quarter as compared to a year ago. The additional growth we saw in the quarter came from our recently announced Formax acquisition. Now let me turn the call over to Wayne to discuss some of the quarter's financial details.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: Thanks, Nick. For the quarter, gross margin was 28.8%; and for the first half of the year, gross margin was 28.7%. These strong results included that we executed the startup of several new production lines for additional capacity to support our forecasted growth. Exchange rates do not impact the second quarter gross margin as compared to the second quarter of 2015. For the quarter, selling, general and administrative expenses of $39 million were just slightly higher than the second quarter of 2015. Research and technology expenses were $1.2 million higher than last year's second quarter; and for the first half of the year, these expenses are now just more than the first half of 2015. I would remind you that the timing of R&T spend can be lumpy. For the quarter, operating income as a percentage of sales was 19.2% as compared to 19% in 2015. Exchange rates contributed about 20 basis points to 2016's operating income percentage as compared to 2015. Depreciation and amortization continued their planned ramp with the first half expenses more than $8 million higher than the 2015 period. Our Engineered Products segment delivered 12% operating income margin for the third quarter in a row as compared to the 14% to 16% margins we had previously achieved over the prior few years. We do experience a learning curve in this business as we start up new programs and replace mature legacy programs as they wind down. We'll continue our focus to optimize our margins in this increasingly competitive segment, though at 12% margin still produces a very attractive return on invested capital. Effective tax rate for the quarter was 30.5% as compared to last year's second quarter rate of 30.6%. The year-to-date tax rate is 29.8% as the first quarter 2016 included a $1.2 million tax related benefit from the early adoption of a new accounting standard regarding accounting for share-based payments. Excluding this discrete benefit, our first half effective tax rate was 30.5% in line with our full-year guidance. For the first half of the year, free cash flow was a use of $21 million compared to the use of $116 million in 2015. Cash provided by operating activities was $135 million compared to $50 million in the first half of 2015, as working capital usage was $63 million less than in the first half in 2015. Our working capital and seasonal fluctuations, for example, in the first quarter, our working capital is a use of $91 million while in the second quarter was the source of $18 million. We expect working capital to be a modest source of cash in the second half of 2016. Cash used for capital expenditures were $156 million in the first half in 2016 compared to $166 million in the 2015 period. We invested a total of $25 million in two companies this quarter. In both cases, we are taking small positions in these companies. While they are quite different opportunities, in each case, they provide access to exciting new advanced composite technologies using our materials and provide for expanded research and technology collaboration in novel. We'll continue to evaluate investments along these lines in the future and expect to be flexible and disciplined in acquiring and supporting a variety of market and technology enablers. During the quarter, we repurchased $20 million of shares under our authorized share repurchase program, and we have $140 million remaining under this program. In June, we announced that we had amended and extended our $700 million senior unsecured revolving credit facility. Maturity Material of the facility is extended from September 2019 to June 2021. Amendment also provides for modest reduction interest costs, as well as less restrictive covenants. Due to the refinancing, Hexcel accelerated certain unamortized financing costs of the old facility, thereby incurring a pre-tax charge of $400,000 this quarter. At the end of June, we also entered into a €60 million seven-year term loan. Borrowings on the term loan will start in the third quarter, and it will be used to help fund our expansion plans in France. Now let me turn it over to Nick for some final thoughts before we take your questions.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Thanks, Wayne. The strong first half of the year demonstrates we are executing on plan and we are on track for another record year. The outlook for growth in our Commercial Aerospace market is very strong, thanks to our positions on new programs such as the A350, the A320neo and the 737 MAX. Accordingly, we have increased the midpoint of our earnings guidance and narrowed the range to $2.48 to $2.56 per share. We have also narrowed the range on the full-year sales guidance to $1.99 billion to $2.05 billion. We continue to expect free cash flow to be in the range of $20 million to $60 million after CapEx of $280 million to $320 million. The first half of the year for Commercial Aerospace was a bit higher than we anticipated, and we expect Commercial Aerospace to end the year at the high end of our guidance, which will help offset any shortfall in Space & Defense sales. We're focused on maintaining alignment with our customers during the critical A350 ramp-up phase and the A320neo and 737 MAX conversions, while also adding more responsiveness within our supply chain to allow for some short-term gains. We will continue creating a solid foundation for EPS expansion going forward through our commitment to operational excellence and continuous improvement. And as we continually look to the future, we will maintain our relentless focus on investing in new technologies to maintain our leadership position to provide our customers with innovative solutions for next-generation products. Rachel, we'd now be happy to take questions.
Operator: Thank you. We'll take our first question from Myles Walton with Deutsche Bank.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: Thanks. Good morning. Good quarter.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Thank you.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: Thanks.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: Hoping I could touch on the growth of the new programs for a second. Greater than 50% growth year-on-year again both in the quarter and the first half, and you comment that the A350 had led the growth. I just want to clarify, is that A350 was growing more than 50% or it was the biggest dollar contributor to growth?
Nick L. Stanage - Chairman, President & Chief Executive Officer: It was the biggest dollar contributed to the growth.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: Okay.
Nick L. Stanage - Chairman, President & Chief Executive Officer: And certainly, we saw growth in other platforms, probably next was the A320neo, and to a smaller extent, the MAX, because it's further out.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: Okay. Good. And then, on the Defense side of the business, it does look like maybe most of the pressure is coming through in the Engineered Products group, is that the location of the A400M inventory stocking as well or is it across both segments?
Nick L. Stanage - Chairman, President & Chief Executive Officer: It is across both segments. I have to look, but I don't think the A400M impacts Kent at all, to speak of. But we are seeing some softness in the rotorcraft which does affect Kent.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: Okay. The other one, so now that the 777X fiber source has been extended to Cytec Mubadala, is there anything bigger, Nick, in terms of wins that you have that you can't speak about or that you could win that would kind of divert or change the $1.1 billion CapEx budget you've talked about through 2019?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, specifically on the 777X, we have engine to sell, and just because Mubadala and Solvay announced their agreement which was expected, don't assume that we're not continuing to work with Boeing on new technologies for both primary and secondary materials which we are. Having said that, we have good insight into probabilities, and it's a little early for us to go there yet given that EIS isn't for two or three more years on the 777X. But I would say, the incremental gains we'll get will have a minimal impact on our CapEx as compared to what we provided when we gave our 2020 vision.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: Okay. Great. That's it. Thanks.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Thanks, Myles.
Operator: Our next question is from Mr. Gautam Khanna with Cowen & Company.
Gautam Khanna - Cowen and Company LLC: Hi, thanks, guys. I was wondering if you could talk a little bit about FX as we look into next year, how much the year has hedged and how much of a positive lift the pounds weakness might in fact be?
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: Yeah, Gautam. In terms of going into next year, as when we give guidance at the end of the year, we'll give a little bit more details but in – generally speaking, when you're looking out three quarters to eight quarters from now, three quarters to six quarters I guess would be, we're probably in the sort of the 60% to 70% hedged ratio. The pound exposure is roughly about $50 million worth, so that 10% movement for a full year is worth $5 million, so that's – so the opportunity is the part that's unhedged in terms of gaining on it.
Gautam Khanna - Cowen and Company LLC: Got it. Okay. On the...
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: And just to be clear, for the second half of this year, the benefit's probably in the hundreds – it's just a few hundred thousand dollars because we're already fairly well hedged for this year.
Gautam Khanna - Cowen and Company LLC: Got it. Thank you. I was wondering, Wayne, if you could also speak to what you anticipate incremental margins will be as we move through the next couple of years with Formax.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: Yeah, the reason we don't talk about Formax for this year because we're bringing their whole business, and just like us, they're not at a 21st (16:55) 5% margin for the whole company. So going forward, in terms of the incremental basis, we're not changing our target because of that – because of them.
Gautam Khanna - Cowen and Company LLC: Okay. So, ongoing in 2017 and beyond, you're still targeting mid-20s?
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: Yes. Correct. Correct.
Gautam Khanna - Cowen and Company LLC: Okay, all in. On the A400M, could you – and on the A380, could you talk about – well, first on the A380, when do you anticipate you start to see a reduction in your demand and the pull-through to you for the first rate cut to 18 and then to 12, how does that phase and when do we start to see it?
Nick L. Stanage - Chairman, President & Chief Executive Officer: So, as you would expect, we had anticipated that the rate was going to go down because we have line of sight and very close communication with Airbus, so basically for this year, we see minimal impact. Next year, certainly we'll start to see the impact of the one per month as we ship materials at least six months in advance for that...
Gautam Khanna - Cowen and Company LLC: So it's already at 18?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Correct.
Gautam Khanna - Cowen and Company LLC: All right. Okay. And the 400M, what is the level of rate cut you're anticipating?
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: So, we're not thinking of a rate cut. I think we just – what we're seeing this year is just some inventory. Our customers had too much inventory and they're just getting back to levels they should be at. So, it's more of they've over ordered in the past and catching up, this isn't about rates.
Gautam Khanna - Cowen and Company LLC: Okay. And can you quantify what that impact is in terms of sales?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Yeah. Whether we will is another matter. When you look at a – it's one of the big contributors to – we went in the year thinking we're going to be stable and we're going to not get that number, and that'll be one of the big contributors to it.
Gautam Khanna - Cowen and Company LLC: Okay. That explains the clip off of the high end maybe of the sales range.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: Right.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Correct.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: Right.
Gautam Khanna - Cowen and Company LLC: Okay. And just last one, if you could give us any color on progress in the automotive composite space, if any – if anything has changed in the past three months?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, I don't know that there's any big awards that have changed. I would point out that certainly Formax has added capability and revenue into our automotive segment. I would say, we continue to work with key customers including BMW and others on new opportunities and platforms. So, we certainly are working the technology around snap cures and processing improvements and finding niche areas where we can differentiate. But in the scheme of things, it's still a very small number, and I don't see the mix or makeup of Hexcel changing anytime soon.
Gautam Khanna - Cowen and Company LLC: Thanks a lot, guys.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: You're welcome.
Operator: Our next question is from Howard Rubel with Jefferies.
Howard Alan Rubel - Jefferies LLC: Thank you very much. Nick, it sounds like everything's just like falling off a log and it's easy to do, yet when I read Wayne's language in the Q concerning Engineered Products, it sounds as if there's a change in the pricing and in the challenges. So, could you elaborate a little bit on how you can either improve that business going forward or is this structurally the new levels of returns?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, for starters, Howard, you know me well enough that we're constantly pushing across the board on productivity and efficiency to improve our margins. Kent and our Engineered Product business is no different. Now, we do have some things going on in Kent with respect to rotorcraft being down, and roughly 20%, in that range, of their business is rotorcraft. So, the volume obviously has an impact to our overall operating income. And we have some legacy programs that have sunset, and we're bringing in new business. So, there is a learning curve in the Engineered Products business. Having said that, the cost to serve and the investment in this business is low compared to our Composite business, so at 12%, although it's not where I want to be, I still like the business and we like the opportunities we see to grow it.
Howard Alan Rubel - Jefferies LLC: But you haven't gotten a lot of tooling, at least we haven't seen any announcements about you getting any tooling business there and that's been sort of what I'd call another one of the hallmarks and sort of qualities that operation. I mean, what do you see in terms of a potential there?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, you're not seeing us announce tooling, but I can tell you we've got multiple programs very successful. It's pretty yearly with our HexMC and HexTOOL. We've had great success with CFAN who use our composite tooling. We continue to work very closely with Boeing. But again, remember, Howard, tooling for the Aerospace segment is very, very lumpy. And there's always a very risk-averse approach, especially until composite tools make a real position and prove their way on the large tools where Invar is prevalent today. So, the fact that we're not announcing any big tooling changes or awards, I'm still excited about that business. I think it will be lumpy, and I think it will be niche. And again, it's just a nice addition to our overall offering.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: And Howard, the content – the new content within the cells for the neo and the MAX, a lot of that is in our Engineered Products segment.
Howard Alan Rubel - Jefferies LLC: Okay. That's very helpful. Just two more questions. One on cash flow, you articulated a little bit of improvement in working capital for the year. I mean, so are we talking maybe $40 million to $50 million from this level or – I mean I know sometimes year-end can be weird, but can you quantify it a little bit?
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: Sure. Yes, I will agree that year-end is weird. If you look in terms of our target our goal is to be free cash – our target is to be free cash flow positive by about $40 million for the full year or minus $20 million going in – after the first half of the year. And so, we're expecting to generate about $60 million in the second half and that includes working capital, generally speaking, should be a positive during that second half of the period. Our receivables are cleaned, and that one is – it really moves with sales, and that's why you see the big fluctuations between how it winds down at year end and how it winds back up at – in the end of the first quarter. That's why we have such a big use in the first quarter. I think there's one area where there's still opportunities is in the inventories area but that's a lot of hard work, and we're clearly focus in pushing on, but that's probably the biggest challenge. But having said all that, we're comfortable with getting the $40 million of cash flow for the year.
Howard Alan Rubel - Jefferies LLC: I know, I was – I mean I'm trying to get a range of what – the language meant, it's pretty clear. I mean, I'm in the ballpark. And then, last, Nick, just to go back to these two M&A deals with Luminati and OPM, can you elaborate a little bit more on the technology? I think the first is kind of a UAV type opportunity and does that mean there is open doors to a lot more UAV suppliers and you want to try to pursue that in some fashion? And then, the other I know is a 3D approach. When I look at the price sales that you theoretically paid for this, it's pretty large. So, could you provide some market definition or color on the opportunities?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Yeah. Absolutely, and I'll start with OPM or Oxford Performance Materials, and just as a reminder, we acquired 10% interest. And given certain milestones, we have the option of going up to 16% ownership. So, they have developed a proprietary technology to produce PEKK thermoplastic carbon fiber reinforced 3D printed parts, and that's primarily for aerospace. And I'd also say they use our fiber. So, that's how we got close to them. It's certainly a growing market. The applications are numerous. They have qualified their material already and are working on multiple platforms where they have products line. So, we think this is a tremendous entrée into this segment. We think we can take that technology and help lever our technology and increase our portfolio. And we're just excited about it. They're a small company, about 65 employees in Connecticut, but it was the right move for us. On the Luminati, it's a little bit different. They're really new. They're not much more than a year old, and it's basically if you think about material science experts working on light-weighting solar powered aircraft. And what they're doing is very applicable to the things we're trying to do both for military and commercial aerospace, and that is come up with technologies, with processes to allow us to make our materials even lighter, more efficient, more cost effective. So, it's a small investment, but it's very targeted to get some technology and enhance our portfolio in an area that we see is a growing opportunity.
Howard Alan Rubel - Jefferies LLC: Thank you, gentlemen, very much.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Thank you, Howard.
Operator: Our next question is from Robert Spingarn with Credit Suisse.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Good morning.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Good morning.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Could you talk a little bit about the movement in both the legacy large aircraft sales that you talk about, it sounds like there's just some volatility in that revenue line up and down? And then as well, I want to ask about business in regional jet which looks like – it looks like it troughed in the second half of last year, but I'm not sure that's correct. How do you think about that going forward as new programs come online?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Okay. So I'll start with legacy, and Wayne, jump in here, if I get off track. But a couple of things to point out. Number one, when we track legacy as compared to new programs, it gets tricky on the derivatives, specifically the A320 classic moving to the neo. Some of the parts are identical, yet when they convert, we move them from what's classified as legacy over to new programs, same thing for the 737 MAX. So, it may look like legacy in that area is going down when, in fact, it's not. And as you know, the narrow bodies are both in the middle of ramp-ups with both Airbus and Boeing. So, the legacy – the real decline is coming from the wide bodies. The 747 dropping from 12 to 6 starting in September; the 777 from 8.3 going down to 7; and the A330, which was at 10 a month a year ago, dropped down to 6 and it's going to climb back up to 7 early in 2017. And then, last but not least, the recently announced A380 cut, going down to 12 deliveries per year where it had been closer to mid 20s, dropping to 18, and we're in the midst of that decline.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): When you think on those – on those Boeing programs you mentioned, when do you think you get to the bottom there, especially on the 777 since the throughput rate is really going to be below 7 when you account for the blanks that go through, it's probably more like 5.5?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Yeah, we try not to get ahead of Boeing. And we just try to stay very aligned, make sure we understand what they're building to, what the inventory and supply chain looks like and what we're shipping to. So, we're very alert. We certainly are keeping our eye on the 777 as well as the A330 because these derivatives and the conversion are – although they may be somewhat simple for us, for the rest of the supply chain and for Boeing and Airbus to make these, I suspect there's a fair amount of complexity in that conversion.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Have you thought about how much this is going to offset your growth on the new programs next year, in other words, what kind of drag you're going to have from these various declines?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, I think – again, keep in mind, we've got very good visibility with Boeing and Airbus and obviously a lot of that is confidential. So, a lot of what we're talking about here that's made public, we had insight into some of that, very similar to next year. We anticipate and make sure we stay very closely aligned, and we've done a pretty good job on our top line forecasting year-over-year being aligned with the OE rates
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): And then, just on the biz jet and regional?
Nick L. Stanage - Chairman, President & Chief Executive Officer: On the biz jet and regional, as you said, the first half of last year was unusually strong. The fact that we're higher than the second half run rate gives us hope that we did hit bottom and potentially will hold if not grow there. And again, we always look at is there any individual program or area that's really driving the performance and it's not. And just as a reminder, Gulfstream, Bombardier and Embraer account for the majority of the sales in this segment.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Right. And then, just high level, understanding all of that, when you think about cash flow conversion and you've talked about some working capital improvement here in the second half but when – in the longer term as we look forward, when can you start to return to a more robust cash flow conversion? Is that 2017, is it 2018? When would we see that?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, so I guess the way I'd answer that given the opportunities we have in the composite space, given the opportunities for further secular penetration, I'm optimistic that we're going to communicate more capital required because our growth is going to go higher. So, I'm not really looking at getting to a steady-state ongoing business where we just have maintenance capital going forward. We're pushing hard on organic growth, and as you can see, it's flowing through, and I'm anticipating that for the foreseeable future.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you.
Nick L. Stanage - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Our next question comes from Chris Kapsch with BB&T Capital Markets.
Christopher J. Kapsch - BB&T Capital Markets: Yeah. Hey, Nick, just a follow-up on the comments that you just said regarding insights into some of these legacy programs, and as you laid out your longer-term forecast, actually I think you referred to it as a commitment more than a forecast or an aspiration, presumably had some insight into, say, the fading relevance of the A380 or 747, the inevitable transition from the 777 to 777X and maybe as you alluded to – some of the other, I guess, rate reductions that are happening. So, just wondering, as you think about that long-term forecast that you laid out in Salt Lake City in early 2015, how is it now playing out relative to that commitment that you foresaw and conveyed to investors?
Nick L. Stanage - Chairman, President & Chief Executive Officer: So basically, we still maintain our position. We continue to see things move up, move down, I mean there's a lot of puts and takes. But overall, we feel comfortable with where we are, inside of what we communicated back in Salt Lake City in early 2015.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: And Chris, if you think about it, all the things you mentioned happens between 2015 and 2020, so by the time you get to 2020...
Nick L. Stanage - Chairman, President & Chief Executive Officer: You're at a run rate.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: You're at the run rate. So, how we get from here to 2020 may be different. But once you're at 2020, the outlook hasn't changed much.
Christopher J. Kapsch - BB&T Capital Markets: Got you. And then, if I could just look at the gross margin improvement on sequential basis in the quarter, and presumably some of that is related to just better utilization of recent product line capacity increases, could you speak to – how far along are you in ramping and qualifying those new production lines? And should we expect additional sequential improvement on the margin line, as those are better utilized and more fully qualified?
Nick L. Stanage - Chairman, President & Chief Executive Officer: So, I'll take a shot at this. And just as a reminder and we talked about this last quarter but just as a recap, for the first half of the year, we basically put in place one precursor line, one carbon fiber line which are the most capital-intensive capacity we have. We also put in a resin mixing system. We readied a second resin mixing system in the second quarter, and we put in place four prepreg lines. So, that's all good news, that's all needed, all that capacity is accounted for but it does not come online fully utilized as you could imagine. It tends to be a little lumpy. So as we go through time, I certainly would expect those lines to get filled and for our efficiency on those lines to improve. Having said that, through the course of the year, we do not have the capacity in place to fill all the demand that we have booked, so we're going to continue to invest, continue to spend and you'll see other incremental tranches of CapEx come online throughout the year and next year.
Christopher J. Kapsch - BB&T Capital Markets: Okay. I appreciate that. And then just one follow-up in the Space & Defense comments, there's, out of Lockheed Martin, generally bullish commentary about the key F35 program transition beyond LRIP, and just wondering, you talk about some weakness in – related to A400M and rotorcraft obviously. But just wondering when you would anticipate seeing benefit from that key program, I think it's a top three program. And so, just wondering when – what the visibility is and benefit to the Space & Defense segment from that program? Thanks.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Yeah, Chris, it is in our top three, and it probably has the most potential for growth going forward, and it is growing. It's probably growing in 2016 a little less than what we initially thought in our plan. But we, again, stay very aligned with Lockheed and with our supply chain and see that as a great opportunity going forward.
Christopher J. Kapsch - BB&T Capital Markets: Okay. Thanks, guys.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Thank you.
Operator: We will take our next question from Ronald Epstein with Bank of America.
Kristine Tan Liwag - Bank of America Merrill Lynch: ...Liwag calling in for Ron. Nick and Wayne, regarding your sales target of 27 – in 2017 of $2.5 billion, can you talk about maybe how much of that you have clear line of visibility to at this point today? And then, also to give us an idea how much contingency you have in place should there be additional changes in production from the OEMs?
Nick L. Stanage - Chairman, President & Chief Executive Officer: So, again, just as a reminder and I had to go back and look. But when we communicated our 2017 view, it was in 2012, and I would remind you, if you look at foreign exchange rates in 2012 versus where they are today, it's a material difference. So, the line of sight to $2.5 billion in 2017 is no longer valid. Having said that, Space & Defense is lower, Commercial is pretty much where we expected it in the range. But we really aren't looking at 2017 as much. We're really focused on 2020 and will provide 2017 guidance in December most likely this year.
Kristine Tan Liwag - Bank of America Merrill Lynch: And then I guess with that as a follow-up, right, in 2012 you provided your 2017 outlook, and then in 2015 you provided your 2020 outlook. Should we think about your 2020 outlook that you gave in 2015 similar to now how we're seeing the 2017 outlook that you provided in 2012?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, I can't tell you how to look at it. But the way we look at it is the $3 billion still looks achievable. There are some headwinds. No question. But there are also wins that we continue to gain that will help offset that. So, with respect to our top line sales, our cash flow and our – especially our EPS, I feel very confident on the $4.50 per share that we communicated back in 2015.
Kristine Tan Liwag - Bank of America Merrill Lynch: Great. Thank you.
Nick L. Stanage - Chairman, President & Chief Executive Officer: You're welcome.
Operator: We'll take our next question from David Strauss with UBS.
David E. Strauss - UBS Securities LLC: Thanks. Most of my questions been asked. Wayne, you had talked about earlier cash taxes increasing $25 million, $30 million in 2016. Is that still where you're tracking?
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: David, actually we hope to do a little bit better than that. There's been a number of tax changes that have actually – which should help us in terms of cash taxes, so we do expect to be a little bit better than that number.
David E. Strauss - UBS Securities LLC: Okay. SG&A as a percent of sales has come down pretty nicely now at 7%, 7.5%. What – how are you thinking about the margin improvement from here, gross margin versus SG&A improvement?
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: We are looking at each other. So, with respect to SG&A, that's something we take great pride in managing that well. I mean, we do have to add infrastructure and costs as we get larger, but on the other hand, we don't expect it to go up nearly the same level of sales. So, we do expect to continue to get leverage from that.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Yeah, we drive volume leverage with the team. We talk about it all the time. As you know, we are investing in a couple of new sites that are in process, one in France in Roussillon and one in Morocco to help us expand our positions and growth with customers, but overall, we're pushing to increase SG&A a fraction of what our top line growth is.
David E. Strauss - UBS Securities LLC: Okay. And the last one, I don't think you've updated your share count assumptions since you gave it (41:38) I think was 96 million shares, can you tell us what you've got assumed in your guidance now?
Nick L. Stanage - Chairman, President & Chief Executive Officer: It would be lower.
David E. Strauss - UBS Securities LLC: Right. I got that.
Nick L. Stanage - Chairman, President & Chief Executive Officer: So, we're at like 94.6 million, but generally speaking, to hit our guidance, we're expecting it to hold flat at this point at that level.
David E. Strauss - UBS Securities LLC: Okay.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: It might pick up a little. I would say for rounding purposes, I'd use 95 million.
David E. Strauss - UBS Securities LLC: All right. Thank you.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Thanks, David.
Operator: We'll take our next question from Noah Poponak with Goldman Sachs.
Noah Poponak - Goldman Sachs & Co.: Hey, good morning, everyone.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Good morning, Noah.
Noah Poponak - Goldman Sachs & Co.: So, back to the new programs that are ramping in the large commercial aerospace sector. Some others in the supply chain that are also a relatively long lead suppliers have reported that the consternation in the ramp of some of those programs has disrupted their business and their results and outlook this year. And you're not reporting that. And actually, you're reporting that you're actually ahead of your plan. So, can you maybe speak to why or how that could be different between you and others in the chain? And then, also just how much risk is there that eventually what's happening, I guess, specifically with A350 and A320 being slower than one would've thought, the rest of that eventually does impact you?
Nick L. Stanage - Chairman, President & Chief Executive Officer: I'll take a shot, Wayne. So, again, if you look at the supply chain that we ship to, Noah, you mentioned we ship in advance, and on average, we calculate at roughly six months. Some areas, it's further out. Some areas, it's shorter. A350 alone, we have 45-plus ship (43:39), and there's no question within the supply chain that there are some suppliers that are probably ahead of schedule, some that are behind and some that are right on. What we do across the board is, we make sure we understand what's going on in the OEs plant, what their build rate is. We do sanity checks to check how are we shipping against that, and obviously, there are some noise in the supply chain that maybe we don't have total visibility to, but as of today, we feel very comfortable with our alignment with the commercial aircraft, legacy narrow body. And again, the one area where we do see some potential contraction is the A400M. But we feel pretty good about the Commercial Aero.
Noah Poponak - Goldman Sachs & Co.: So, is the answer there that you perhaps have better systems processes checks on where you're delivering versus where the OEM is?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, again, I've said this before for – certainly, our composite and pre-preg material, it has to be frozen. So, it goes from our freezers into our customer freezers or the supply chain freezers. So, I'd say, we have pretty good visibility with that. I'm not going to say we're better than the other supply chain. I can only speak to where we are. And we've maintained adequate supply given that we're sole source on many of these products, and we've maintained very good alignment. So, Wayne?
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: Yeah the only thing I'd add, Noah, is perhaps some of the consternation you're referring to is, that there's a big difference right now between the production rate and how many they're actually delivering.
Noah Poponak - Goldman Sachs & Co.: Yes.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: If you're in that last part of that chain, you probably have more volatility than we would.
Noah Poponak - Goldman Sachs & Co.: Right.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: And obviously, the risks everyone's worried about is that at some point if they don't catch up on deliveries, they might, let's say, slow down the production rate, but probably not ramp it up as fast as we would like . And so, that's probably the risk.
Noah Poponak - Goldman Sachs & Co.: Okay. Can you tell us specifically what you're building to per month on A350 right now?
Nick L. Stanage - Chairman, President & Chief Executive Officer: We're around seven. <: Okay. And 787, I guess maybe at this point sort of lingers between new and legacy and kind of moved out of your list and mentions of new. Maybe if you could tell us what that program did for you in the first half in terms of growth rate and what are you planning for next on 787?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, while Wayne is looking for the number. I can tell you that Boeing is in the process of ramping up to 12 per month starting in April of this year. So, we're certainly at that level and then going to 14 in 2018 which is a little early.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: Yeah. And we're consistent with those rates. Only thing I add, at some point we're going to stop talking about legacy and new programs because, as Nick talked about earlier like if you're using the narrow bodies as they go from classics to the new engines, it's going to be more complex to keep track of it actually almost misleading. So, at some point we will give that up.
Noah Poponak - Goldman Sachs & Co.: So, you are planning to go to 14 a month in 2018 on the 787?
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: I think that's 2019.
Noah Poponak - Goldman Sachs & Co.: Okay.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: I don't have the number at the top of my head.
Noah Poponak - Goldman Sachs & Co.: I think Boeing is, as you said, leading the decade?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Yeah.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: Yeah, that's correct.
Noah Poponak - Goldman Sachs & Co.: Have you actually put anything in any wheels in motion in your system to actually do that?
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: So, we don't have to add specific capacity for that just yet. So, the reality is we haven't had to do anything, Capex wise, if that's what you're referring.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Yeah. Another good point on this. Just to remind everyone that, our carbon fiber, our pre-preg assets are funded. And so, for example, that A380 volume that will ramp down, we'll consume that with other needed volume on growth programs.
Noah Poponak - Goldman Sachs & Co.: So, I guess how likely do you think it is that Boeing goes to 14 a month on the 787?
Nick L. Stanage - Chairman, President & Chief Executive Officer: You can ask them next week on their call.
Wayne C. Pensky - Chief Financial Officer & Senior Vice President: They are the only ones that can really answer that.
Noah Poponak - Goldman Sachs & Co.: Okay.
Nick L. Stanage - Chairman, President & Chief Executive Officer: We're ready and capable when it's required.
Noah Poponak - Goldman Sachs & Co.: Okay. Thank you for the time.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Thanks, Noah.
Operator: Our next question comes from Mike Sison with KeyBanc.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Hey, guys. Nice quarter.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Thanks, Mike.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Nick, when you think about – I continue to hear that folks kind of be worried about peaking orders and aerospace cycle and stuff. Maybe highlight why you think Hexcel can continue to grow in an environment where the orders are peaking and maybe some of the legacy stuff, just kind of a general – what drives Hexcel here through the next couple of years?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, I'll start with the backlog and just looking at the sheer volume of the backlog, even if it's overstated by, pick a number, 10% or 20%, it's still years and years. But really what I would focus on, Mike, is composites, the technology, the secular penetration opportunity on new aircrafts or derivative wings for next new airplanes or engines and the cells, if you look at the weight advantage, if you look at the life advantage and the overall lifecycle cost, especially now we're getting more productive. The efficiencies are getting better. Our customers are getting more efficient with it. I just look at this as a great opportunity to continue to grow and position our materials and products going forward, so we clearly look at build rates. We clearly make sure we stay aligned but boy, I feel pretty good given the backlog, given the air passenger traffic and the projections that I see going forward.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Great. In industry, you said Wind was pretty solid for the quarter, do you expect that business continue to hold up as you go into the rest of the year?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Yeah, actually Wind. We came into the year thinking it would be stable, and it was a actually up mid single digits and we feel good about it for the year. We think it will finish up a little bit.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Okay, great. And last one, in Space & Defense, has the JSF started to perk up for you, guys?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, the JSF is growing, maybe not to the level we put in the original plan, but it's a great program for us. It's in the top three, and we're certainly following Lockheed and looking at build rates because we want to make sure we stay aligned with that program as well.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Great, thank you.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Thanks, Mike.
Operator: Our next question comes from Richard Safran with Buckingham Research.
Richard T. Safran - The Buckingham Research Group, Inc.: Nick, Wayne, Michael, good morning.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Good morning.
Richard T. Safran - The Buckingham Research Group, Inc.: Nick, I wanted to follow up on your comments about the A350, the comments you also made about visibility with Airbus and line of sight, so at Farnborough, Airbus was making note of the fact they were still having problems getting lavatories for the A350. It seemed to be they were a little bit concerned about what that would do to the rate ramp next year. So, I'm gathering from your comments, Airbus is not expressing any concerns to you about the A350, either rate 10, at 18 or the rate ramp next year is, is that a fair read of what you said?
Nick L. Stanage - Chairman, President & Chief Executive Officer: It's absolutely fair. They – you keep in mind, they've provided data that end of 2015, they're going to be at 5 per month and 2018 they are going to be 10 per month, and they have stuck to that. They may make some tweaks in between that based on supplier capacity and making sure they manage the risk. But we're right in the middle there and not hearing anything different.
Richard T. Safran - The Buckingham Research Group, Inc.: Okay. And then on your comments about the impact of the A380 – okay, got you. So, with the rate changes, the rate down on the 777, the 47 that you mentioned while ago on the 330 and the A380, when you have a change in write-down, is there any adjustment made to your pricing?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Typically not.
Richard T. Safran - The Buckingham Research Group, Inc.: Okay. And then finally here, I just had a long-term strategic question for you because there was a lot of talk at the Air Show about a new airplane. And I thought maybe you would talk about technology trends going forward, for example, do you think – and I know Boeing hasn't announced anything and I know we're just talking generally. But I mean, for example, do you think a new airplane could be 50% composite? Do you think, for example, the next generation of composites might not use autoclaves, that sort of thing?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, I think all those things you mentioned are potential. And I can tell you, we're working on multiple technical solutions in, out of autoclave, out of autoclave in various product forms in anticipation that, different customers may choose different approaches. So, we're working with Airbus and Boeing just like we are with Safran and GE and a host of others on the next technology. I think at the end of the day, the market is focused on performance – mechanical performance end processing and overall cost. And we're aligned with them and trying to make sure we can position our next-generation materials to be the leader as they are today.
Richard T. Safran - The Buckingham Research Group, Inc.: Thanks very much. Appreciate it.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Thank you, Richard.
Operator: Our next question comes from Ken Herbert with Canaccord.
Ken Herbert - Canaccord Genuity, Inc.: Just first, wanted to ask on the 777, as you look to the migration of the – or the evolution of the 777X can you – are you still looking at content step-up opportunity equivalent to what you saw on the re-engined narrow bodies, especially when you factor in the nacelles and the engines, and the upside there?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, we've never really set a target on what our growth would be on the 777X. We're at – on the legacy model, we're at $1 million per shipped set, just slightly over $1 million. There's no doubt in my mind we will exceed that on new platforms, and I would tell you, we're still working on multiple applications that I think have meaningful contribution. Now whether or not we can approach a 50% increase, that's probably on the high end, but I can tell you, we're working engines, nacelles as well as structures.
Ken Herbert - Canaccord Genuity, Inc.: Okay. That's helpful. And is there a timeframe, I mean, this seems to have pushed to the right a bit, but a timeframe when you might have more visibility or be able to speak a little bit more concretely about sort of what you've ultimately captured on this program?
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, it's hard to give you bits and pieces because I like to get the market to stabilize like it did on the A320neo. Once it went into production and we pretty much knew what we were going to have and we achieved the $450,000 per ship set, which was 50% incremental increase over the legacy, then we talk about it. Clearly, there are certain awards that we have already won on the 777X. But there's just too much that's still being worked for us to declare where our end ship set is going to land.
Ken Herbert - Canaccord Genuity, Inc.: Okay. Thank you. That's all.
Nick L. Stanage - Chairman, President & Chief Executive Officer: And really you have to think about it. Next year, the – end of the year, next year, the 330neo will enter service. We are still working multiple opportunities on that. The 777 is even further out in that, it's 2019, 2020 timeframe. So, it's not going to be anytime soon that we'll be able to say, okay, here's our ship set content on the 777X.
Ken Herbert - Canaccord Genuity, Inc.: Okay. All right. That's helpful. And then just to follow up, one final question on the – a few of the earlier questions. I mean, clearly, lot of opportunity with any clean sheet plane out there. Clearly, it looks like the recurrent cost of composite manufacturing still sort of 2x on the metal side, but there is a lot of technologies and everything you're looking at, expectations of pretty significant improvement coming when you look at – you don't lay down rates and other sort of metrics that you're following, is there a certain number, Nick, that you think you need to get to, to maybe significantly open up more doors on a new narrow body for you in terms of potential? Or how do you think about the evolution? I know it's obviously a long-term opportunity and I know you're pushing in multiple directions, but how should we think about the potential opportunity opening up on these new aircraft with what you're pursuing.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Well, I think to start with the 2 times number that you mentioned is an acquisition cost on base material and it really doesn't look at lifecycle costs where you take advantage of the improved inspection intervals and the life expectancy and on and on with respect to the infinite life on composites. So, I think one of the areas we're focused on, and it's been talked about before and that is the narrow-body fuselage. That's an area where we have to come up with some innovative solutions to position composites to compete in that segment. I think the wings and the wide bodies. There is my perspective that they will continue to be 50% and an opportunity for even further secular penetration, and we've heard that from our customers.
Ken Herbert - Canaccord Genuity, Inc.: Okay. Thank you very much for the color.
Nick L. Stanage - Chairman, President & Chief Executive Officer: Thank you, Ken.
Operator: And that is all the time we have for questions today. This concludes today's conference and thank you for your participation. You may now disconnect.